Operator: Good morning, ladies and gentlemen. Welcome to the Dream Unlimited Corp.'s Third Quarter 2025 Conference Call for Wednesday, November 12, 2025. During this call, management of Dream Unlimited Corp. may make statements containing forward-looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond Dream Unlimited Corp.'s control that could cause actual results to differ materially from those that are disclosed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties is contained in Dream Unlimited Corp.'s filings with securities regulators, including its latest annual information form and MD&A. These filings are also available on Dream Unlimited Corp.'s website at www.dream.ca. Later in the presentation, we will have a question-and-answer session. [Operator Instructions] Your host for today will be Mr. Michael Cooper, CRO of Dream Unlimited Corp. Mr. Cooper, please go ahead.
Michael Cooper: Thank you very much, operator, and good morning, everybody. Today, I'm here with Meaghan Peloso, who will provide the CFO update in a few minutes. I wanted to start with a couple of macro comments and then after Meaghan, I'll go into some detail about the company. The first comment is without sort of being partisan, I think it's factual for the last 10 years, Canada has been going in the wrong direction relatively quickly, and it's really created a lot of damage to the size of the economy and it really has created a lot of issues with just sort of uncontrolled immigration, like being 18% below the trend line for where the GDP should be, where the GDP per capita should be and it's really been hitting hard as time goes by. But I would say that the new government is going in the right direction as far as we can see, and we can discuss whether it's going in the right direction fast enough or not, but it is an amazing positive to change from going in the wrong direction quickly to going in the right direction, and we're very encouraged by that. I also think that the major projects are major, and I want to give one example that's close to home for us at Dream, just as an example of what the potential of some of the things that are happening are. Now in Saskatchewan, the Jansen mine is being built, and it is not being built. I don't know if it has any government support, but I'm just using this as an example of how much a major project can influence economy. So Saskatchewan has the second highest per capita income, which is based on $90 billion GDP and 1.25 million population. What's interesting in Saskatchewan is half of the GDP is exported, but it has the least percentage of exports to the U.S., what actually exports a lot of things all around the world. So this Jansen mine is going to open next year. it's a $14 billion development, which is massive for the size of the province, and it's going to produce about $4 billion of revenue, which by our calculation, would literally be a onetime increase in the GDP of the province of over 4%, and almost a 10% increase in the amount of exports in Saskatchewan. And we think this is tremendously bullish for the province. There's lots of other things. But as Canada gets more major projects going, there will be an increasing number of bumps to the GDP. These onetime bumps that will then continue to grow on a regular basis. So we're very excited about it, and we believe in it. And we just think turning the ship around makes take some time and the next 24 months may not be as positive as we would like just because the actions of the old time are still reverberating before the new actions take place. The second area that I've been thinking about a little bit is, I mentioned that the choices that we have made have reduced the size of our economy, 18% from what it could have been. And I think Canadians have been really focused on the U.S. and from everything I've seen from all of the bank's numbers, it's like if there's tariffs or there's other issues, it could be like a 3%, 4%, 5% onetime hit to our GDP, which is terrible, but it's manageable and all the other countries around the world are managing their way through it. Canada is in the worst position, of course, because we've got a 5,000-mile border with the U.S. and we're very far away from any other country. But I think we can manage our way through it. But I don't want to focus on that. I want to focus for a second on the Supreme Court decision on tariffs, which I know a lot of Canadians are rooting for, that the Supreme Court overturns the tariffs. And I think that probably sounds like a good idea. But one of the biggest threats I think to Canada is that the U.S. starts to see an increasing cost of debt. And if the Supreme Court says, that the $400 billion a year that the U.S. is getting, which is like 20% or more of their annual deficit has to be paid back and the U.S. has to fund that money. I'm just worried about what that might do to interest rates. So look, the relationship we have with the U.S. is really complicated, really significant. I think we're doing pretty good so far. We can take care of ourselves that we focus on it, and I really hope that Canadians as a whole will really focus on how we grow our economy and how we act more courageous, not just the government, but entrepreneurs and employees as well. And I think it's well within our control to see huge improvements over the next 4 or 5 years. So I'm really quite excited about that. Just think that what I would say is when we're running Dream Unlimited, you got to divide into things that are within our control and things that aren't. And I'm really pleased with the work our team has done since the beginning of this decade in a very difficult times. And I will go through it a little bit later in terms of all the accomplishments that we're currently achieving. And then at the same time, there's obviously great uncertainty over things that are out of our control, and I'll try to explain how it is that we're positioned ourselves for that as well. So with that kind of foreshadowing, Meaghan?
Meaghan Peloso: Thanks, Michael. Good morning, everyone. The company's third quarter results for our core operating business was solid with $24.1 million in net margin generated in the period, up from $9.8 million in the prior year. Net earnings for the third quarter on a stand-alone basis was $27.4 million, which does include fair value adjustments on our Dream Group unit holdings. Now just as a reminder, last quarter, we revised our operating segments to better articulate how we view and manage the business. I'll briefly walk you through our segmented results under our updated headings, which represents our stand-alone activity only. In the third quarter, our Asset Management division generated revenue and net margin of $14.5 million and $11 million, respectively. Within revenue, we continue to see steady base seat growth, while transactional and development fees continue to fluctuate period to period. In the third quarter, net margin increased by $4.4 million relative to the comparative period, due to higher costs attributable to our private asset management platform, which have now normalized in the current period, in addition to the impact of the transactional activity. In the third quarter, Western Canada Development generated revenue and net margin of $61.6 million and $11.4 million, respectively. We achieved 137 lot sales, 13-acre sales and 34 housing occupancies, which were largely concentrated in Alpine Park in Calgary. Relative to Q3 2024, the average selling price fluctuated significantly period-to-period due to the specific product mix in phase being released. Over the past quarter, we've made significant progress in our land presales commitments, which helped us manage our capital and adapt to market changes in real time. As of November 7, we have a total of $275 million in sales commitments that will be recognized between 2025 and 2027, which is up by $71 million from the last quarter. Now this $275 million does include the $65.9 million of land revenue recognized in our year-to-date earnings. In the third quarter, our income properties generated revenue and NOI of $13.1 million and $6.5 million, respectively, compared to $11.1 million and $4.9 million in the comparative period. The increase in NOI was driven by strong leasing activity within our newly completed purpose-built rentals in Saskatoon, partially offset by the impact of normalizing operating expenses as we establish the portfolio. As of September 30, we had $928.7 million of income properties on Dream's balance sheet, reflecting only our direct ownership. Our other investment segment generated $14.2 million of revenue and $3.2 million of negative net margin in the quarter. Overall losses in this segment are within our expectations and periods of low occupancy as fixed costs will exceed earnings. Over the course of 2025, we spent just over $8 million in share repurchases equivalent to 1% of our shares outstanding. At this point, we're likely done using our NCIB for the remainder of the fiscal year, and we'll reevaluate our buyback activity in the new year. Lastly, we ended the quarter with $328 million of liquidity and very modest near-term debt maturities positioning us very well for the remainder of the year and going into 2026. So with that said, I'll now turn the call back over to Michael.
Michael Cooper: Thanks, Meaghan. As we've been speaking about the company, for sure, since the annual meeting but even before that, we're looking at the company in terms of its 3 major drivers being income properties, asset management in Western Canada. So I'd like to give an update on each one of those, and then I'll also deal with what we call other. On Asset Management, when we sold Dream Global at the end 2019, we decided we wanted to continue growing in the public markets, but we also wanted to pursue private asset management. And since then, we've had some success. I think we have in excess of $10 billion of assets under management from institutions. And it is -- I think, at this point, it's larger than our public company asset management, which is pretty encouraging. Looking forward, there's lots of opportunities. It's a difficult process to get a new client. It's very time-consuming and uncertain. But we've been having plenty of conversations that we have confidence about that we're going to continue to see growth with new clients as well as seeing growth with existing clients. We feel that, we'll talk more about in February on all these points as we to reflect after our year-end and our approved business plan. But we see lots of opportunities to increase our margin within the existing assets that we have and that they could be meaningful next year. So between growing some assets and increasing our margin, we expect next year to be a very strong year for profits for the asset management business. And it's hard for me to believe, but I think we're likely going to exceed $30 billion of assets under management by the end of 2026, which I think is a number that's relatively significant. I mean, if you look at the big guys like Brookfield and Blackstone, there at $1 billion to $1.3 trillion and $30 billion is not much. But $30 billion is a relatively significant amount of assets that we have expertise and responsibility for. And I think we're proving ourselves to our clients. And I think we've got great growth prospects. In Western Canada, we've been referring to it. We've started the Coopertown community in Regina, that's well underway. We have 210 lot sales, 60 -- 150 to third parties as Meaghan mentioned. But just to get that approved means we now have that land available year after year with no more zoning requirements. So I think we've got a long horizon of developing Regina, where we believe there's pent-up demand. at Alpine Park, it's been going very well. It's a couple of years ahead of Coopertown. And we've got a lot of approvals. We still need some more to keep it going. But in the North segment of the first portion, which is 615 acres, we're in good shape, and we've got a lot sold. We'll probably be selling through to 2030, by which time we'll start, I think it's south of 164th Street. So we have pretty good visibility there. We're getting -- we're selling lots at highest prices ever. And I think we're selling our parcels at the highest price ever, which is very encouraging. In Edmonton, I think things are going well. In Saskatoon, we're going to finish the Brighton community. The sales of the Brighton community in 2026. We mentioned before, we've got this massive school complex as well as a large retail complex starting. We're still dealing on some zoning there, but if we can get that zoning done in time. We're going to be on our way in Homewood for the next 10 or 15 years. So we've got a lot of land keyed up, ready to go, a lot of demand. In most of our markets, there's very low completed and finished houses, developers, builders have very few lots. So we've got the ability to manage slower sales for a while. But we think now that the budgets come out and there's clarity on HST on housing, we'll see a bit of a bump. People won't be waiting to buy. So I mentioned last time I went through some numbers. I think those numbers pretty much are good now. We're expecting, starting in 2026, our baseline of earnings from Western Canada. Land and housing will be higher than it's been over the last 5 years. So that's very exciting for us. And the third major area is income properties, and it's pleasing to see every time we come up with our numbers. Our income property margins are increasing. I think it's going to speed up. We've seen a tremendous amount of leasing on our finished apartments just in the last 90 to 120 days, with virtually all of our newly completed buildings now over 90%. And hopefully, we'll get them a little bit higher and they'll be stabilized in the next few months. So it's very exciting because it was slow at times with some of the changes. So we're adding a lot to our income profit. I think we're adding $200 million to $250 million a year. I think by year-end, we'll have about $1 billion of just owned properties on Dream's books, not investments in other entities that own income properties. And we think that's going to continue to grow at a rapid pace, and the NOI will continue to rapid pace. And generally, we're getting development profits plus appreciation as the rents grow, which in most of our markets, the rents are continuing to grow. So it's looking very good on all 3 of those areas and I suspect they're going to continue to increase in the significance of those 3 areas to our whole business. So as we've been talking about these areas over the last number of years, we are seeing tangible evidence that we're achieving the goals that we set out for ourselves. We started all 500 apartment units in Western Canada this year that we had planned on. And we've got the 77,000 square feet of retail that we've undertaken. And I think all the 10,000 square feet of that is leased and the construction is going on. In Calgary, the 60,000 square foot center should be finished in 2026. So a lot of the things are going according to plan. And in Ottawa, we're getting good leasing. And in Toronto, we own the distillery district, but we actually -- we own value-add apartments, which are doing quite well. But we don't have exposure to that much else directly. So we're expecting that the future years are going to look very good from each of those 3 areas. In the other category includes like the office REIT, which we're very pleased with the leasing. I think we mentioned on our conference call that 74 Victoria, the federal government left most of the building last year. If we exclude that, our Toronto portfolio is over 90% committed. And that's a big sign. That's really -- a lot of that has happened in the last 4 or 5 months. And we got tenants taking possession fairly regularly. And of the other 10% in those buildings, we can see very leasable spaces. We're building out space and we expect to move a good portion of that in 2026. And we also think that we're going to make some progress in 74 Victoria. So it's still capital consuming. But we do believe that the leasing market has improved, and we don't know where it's going to stabilize, but it's looking encouraging. On our urban development, we have some ownership directly within Dream. But most of it is through the Impact Trust. And the Impact Trust has not been trading well at all, and it's got leverage and a lot of development, and it has not been of interest to the public shareholders at this time. Having said that, it has some of the most exciting projects we've ever been involved in, and those projects are proceeding, and they're proceeding in an exciting way. So as an example, the tenant who is in 49 Ontario, left the building literally, like Elvis literally this week and is now in occupancy in 30 Adelaide, and we've commenced the demolition of that building as well as we're doing other work on the site. So we are underway to build a 1,200-unit apartment complex. It's 20% or 21% affordable. We have CMHC funding approved. We're just finalizing it and hope to draw within the next 30 to 90 days. We're very advanced on tendering the work and it's looking very good. That property benefited from the City of Toronto waiving development charges because we have affordable housing. So that means that we're saving quite a bit of money on the total development cost because of the waiver of the development charges. In addition, we're doing quite well on the construction cost and the construction should be significantly less than it would have been 18 months ago. So our cost base will be quite attractive. As we all know, rental rates have also come off during that time. But I think our savings are relatively similar to the amount rents have come off. So we have a low cost base, and we can use lower rents and achieve the type of returns that we would have hoped to achieve a couple of years ago. So I think we've got a pretty good starting point and we could make it work with existing rents. And our expectation -- I mean that's too strong. Our thoughts are that with the rents coming off so much for a whole bunch of reasons. Even though we don't budget it, it's quite likely that the rents will pick up again and return to new highs within the next couple of years, which would make the building a home run. So that's really exciting. Dream has about a 37% indirect interest in that asset. We're also making a lot of progress at Key side, which is just a little bit bigger and that's a venture between Impact Fund and Impact Trust. Our net indirect interest there is about 35%. And there again, we're making great progress with the city, the federal government, Waterfront Toronto, and we expect to start that project very soon with relatively similar outcomes, lower costs, lower rents, but overall, having a compelling investment opportunity subject to a little bit more. We still need to do to hit our numbers. So even in the areas that aren't fashionable. I think our team is doing a great job, and I think there's really great opportunities with assets that are being managed really well. So I guess that's my overall about the company. And then you say, well, the stuff that we can control, we think it's going pretty well. What about the stuff we can't control? That's why I've been saying you got to focus on liquidity, which we have been. And we're always looking at where we can get more liquidity if we need it. And I do think that the next 12 to 24 months may be more challenging than we'd like just because of the change in government direction, the change in the U.S. But as I was saying, like in Western Canada, we got a tremendous amount of presales already. We expect that to be in 2026, it should be a good year for asset management. And on income properties, it's pretty steady. So it should be -- like we should be able to generate cash over the next couple of years, even if it's a tougher environment. But all in all, I think that the company is really quite well positioned. And whether it's easy sailing from here or build both ways. I think our financial capacity our assets and our people are ready to deal with it. So with that, I turn it over to any questions.
Operator: [Operator Instructions] Our first question is from Sam Damiani with TD Cowen.
Sam Damiani: Thank you, and thank you also for comprehensive business overview. That was very helpful. Michael, one of your comments was on liquidity. And I'm just curious as to the reason to stop the NCIB activity at this juncture for the rest of the year and any update on Dream's support for Dream Impact Trust?
Michael Cooper: Yes, I thought it would make it said it was a little strong. I mean we almost are at the end of the year. I think we're looking at buying up 1%. We've done that. We could buy a few shares, but I suspect that, as I mentioned, we do our business plan now. So we're still tweaking it. We go to the Board. So we probably aren't going to be too ambitious on the NCIB until we have a plan going forward that's approved. But the NCIB is definitely one of the tools in the tool chest that we'll be using. And there's been years where we bought back more than 1%. But I think if you compare the amount that we're using it to many other companies, 1% is a reasonable amount. The second question is about support for Impact Trust. And there I think that impact trust put out a press release that we've given them a $15 million line. I don't think we quite said it, but that was specifically due to the predevelopment costs prior to getting the first draw -- excuse me, first draw in Ontario. I had mentioned previously on a conference call that -- or I think it was in the press release in August that we've been dealing with some potential lenders for Impact Trust. There is definitely money available, but it's treacherous terms. And when we looked at that, we thought, you know what, it is better for Impact Trust and better for Dream if we have loans among people who have the shared values and shared interest. So I think we're looking at increasing that $15 million. We haven't fixed the amount. We're still working with the 2 Boards, but we're pretty far advanced, but it will definitely be within what Dream has the capability of lending. And the other thing I would say is hard to communicate, which is the -- when we are doing our projections, we're talking about, well, when this loan comes up, will there need to be a pay down. What's the timing on another thing? What's the worst case of this. And we're finding that the numbers are moving around quite a bit right now. And we think over the next 60 days, a lot of those numbers will be settled, and we'll have much more clarity as to how much money is needed over what period of time. But as I said earlier, Dream is -- Dream would, Dream is keenly interested in many of the assets within Impact Trust. And we think that for Dream lending some money is the best way to support those assets and to support Dream's interest in the assets from Impact Trust perspective. I think that borrowing from somebody else is too difficult at this time. So I'm not telling you the number. We didn't say it at the Impact Trust. When we spoke to our Board, we gave them a rough range and we'll know more soon, and we will disclose it as soon as we have established it.
Sam Damiani: That's really helpful. I appreciate that. And just on the Western Canada side, nice to see the commitments take a nice step up for the next year or 2. Just curious what you're sensing on sort of the end user market, the buyers of these completed homes how that demand is trending or holding up, just given the macro that the country is facing as you alluded to.
Michael Cooper: Yes. Well, I don't think we have an economy that's national. I think we have a specific economy. I've mentioned this many times, I think Ontario is positioned maybe the poorest and Saskatchewan, Alberta are positioned the best. In Saskatchewan, housing prices are near a high, if not at a high. There's been quite a bit of interest. We had a pretty good spring. But throughout the summer and early fall, it was slower. October looked a little bit better, but I think a lot of that has to do with uncertainty. The builder is committed to everything we hope for them to commit to for 2026. And as I was saying, that's really because they don't have much inventory. So we'll be looking much more closely in 2026. How we progress through -- how the builders progressed through their inventory because that will give us more insights as to their demand for 2027. One of the things is we've got a lot of new developments. So the builders obviously have no lots there. And I think they'll stretch to get positions in those neighborhoods. So I think we're buffered even for 2027. But the sales have been a little bit slower than we would have liked, but still, there's still sales and there hasn't been an issue on pricing or anything like that. I just think there's been a bit of uncertainty in this thing with HST is a significant factor. And why would anybody buy a house if they're going to save $30,000, $40,000, $50,000 if they wait. So just to go into even more detail, you didn't ask for it, but there was a hope that the liberal government would say that the HST waiver was not just for first-time homebuyers, it was for all buyers under a certain price. And there's good reason why HST should not apply to new housing. Trudeau said he's going to take it off. There were times where really right at the beginning, they weren't sure whether housing should have it or not. And this government decided in their budget last Tuesday that they're going to pass into law that first-time buyers will not have to pay HST under $1 million. So at least that's done now, and people know what it is. And I think the date that as of last budget, so people can make decisions now. So hopefully, that will be better.
Sam Damiani: That's helpful. And I guess last one for me, just on the supplemental. It did show about, I guess huge increase in acre sale commitments up about 200 acres from what was disclosed in Q2, including a big chunk, I guess, expected to close in Q4. Could you just shed some light on what you're expecting there?
Michael Cooper: Yes. I think that there's a couple of things where we're really building up our presales. The one that would close in Q4 is 200 acres in Edmonton that we're bringing partners into like we did last year. So we've been very pleased with the ability to get a decent price for land and partnering with it, that's not core lands to us. So that's about a $20 million sale. And I think we paid $3.75 million for the land some time ago.
Operator: Our next question is from David Spier with Nitor Capital Management.
Michael Cooper: Welcome back, David.
David Spier: Thanks, I appreciate it. I just had a bigger picture question here. I understand the strategic value in the different segments and keeping them in one house. But you talked about the growing value of the asset management business. I mean, if you're looking at it the last 3 quarters and in the last few years. I mean you mentioned the AUM growth, but on an FFO basis, it's exceeding probably $40 million on an annual basis. There's also future monetization opportunities where with industrial, where according to the most recent filing, there's a -- I think it's $330 million potential carry?
Michael Cooper: I think it's $37 million, but I'm not arguing.
David Spier: All right. So give or take. So and now especially with the development projects coming online over the next few years, and adding some additional recurring income. Has the company thought about the possibility and would even be possible to create a cleaner story here where you would have a separate publicly traded asset management business, maybe even combined with some of the dividend-paying investments put into a separately traded vehicle and then the development in physical properties and other? Just to really create a cleaner story, more or less.
Michael Cooper: Okay. There was a twist at the end there. I was thinking of -- we've really been growing the asset management business, and we know that they're highly desirable businesses. We have looked at funding it -- okay, I'm sorry, I'm stuttering. We've been looking at financing that building business on its own. What would it take for us to be able to finance the asset management with its own debt. We also have looked around at how other people have dealt with our asset management business and how it's turned out. And some people have done quite well by bringing in a 20% partner who has a strategic partnership reason. So we're probably open. I think what we've seen is the business is too small to get the top valuation, and we think it's going to get bigger. So I would say on that part, not yet. And that was sort of like do we bring a partner in, I don't think we'd look at selling it. We could spin it out.
David Spier: That's -- by the way, I didn't mean selling it. I meant spinning it out and having it in a just a separate vehicle that will be valued better by the market more or less.
Michael Cooper: Yes, we could look at that. We haven't yet, and I think a lot of that is due to scale. But I don't -- I mean if you're asking me, is there a religious reason why we wouldn't, there isn't. DRR is getting privatized. So we'll have -- we'll be down to 4 public companies, maybe there's room for another one. Because generally, we're like, no, we're not going to have a 6 public company. But you know what, we've been -- like it has been a very difficult time to manage through, and we've been really focused on not losing ground. So hopefully, things will be settling down over the next 12 months. and it will be much easier to plan strategic things. But David, it's a great thing to think through. We are always open to ideas from shareholders. If that makes sense for the company. And I don't really have a answer because...
David Spier: Yes. I would just add that it's -- the company has a lot of levers. And I mean I think arguably, even with the difficulties in the environment. I think clearly make the argument that selling at a pretty significant discount to the NAV of the company and the different parts. So if one, we're not going to take advantage of that via a buyback, an aggressive buyback for just liquidity purposes, what's the alternative way to unlock and create shareholder value? And I think that just might be one of them to consider just because I think we see with other vehicles, whether it be Brookfield creating these -- keeping everything in-house, but creating separate public entities that could be valued appropriately in the markets.
Michael Cooper: Yes. I mean I haven't paid too much attention about Brookfield spending off 25%. But we've actually been quite active in structuring and restructuring businesses and it's done well for us over time. So I don't want you to think I'm being dismissive in any way. We're just not at that point yet. But we have thought about it a little bit when we get better, bigger.
David Spier: All right. I appreciate a $30 billion may be small relative to the other guys, but it's not small in general. So I really appreciate it.
Michael Cooper: Thank you. I really appreciate your comment. It's good to hear from you again.
Operator: [Operator Instructions] This concludes the question-and-answer session. I would now like to turn the conference back over to Mr. Cooper for any closing remarks.
Michael Cooper: I just want to thank everybody for listening and paying attention, and we look forward to the year-end conference call where we can provide a lot more information on the business plan for the next 4 years. Thank you. And as always, Meaghan and I are always available to speak with anybody who wants to speak with us. Bye-bye.
Operator: This brings to close today's conference call. You may now disconnect your lines. Thank you for participating, and have a pleasant day.